Operator: Greetings and welcome to the Capri Holdings Limited Third Quarter Fiscal 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Jennifer Davis, Vice President of IR. Please go ahead.
Jennifer Davis: Good morning, everyone and thank you for joining us on Capri Holdings Limited third quarter fiscal 2023 conference call. With me this morning are Chairman and Chief Executive Officer, John Idol; and Chief Financial and Chief Operating Officer, Tom Edwards. Before we begin, let me remind you that certain statements made on today's call may constitute forward-looking statements which are subject to risks and uncertainties that could cause actual results to differ from those we expect. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that the statements made during this call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on today’s call. Unless otherwise noted, all financial information on today's call will be presented on a non-GAAP basis. These non-GAAP measures exclude certain costs associated with impairment charges, restructuring and other charges, ERP implementation costs, Capri transformation cost, and costs related to the previously terminated merger with Tapestry, Inc. To view the corresponding GAAP measures and related reconciliation, please review our latest earnings release posted to our website earlier today at capriholdings.com. Now, I would like to turn the call over to Mr. John Idol, Chairman and Chief Executive Officer.
John D. Idol: Thank you, Jennifer and good morning, everyone. Overall, our business remained challenged during the quarter and we are disappointed with our results. Since the termination of the merger agreement, we have reevaluated our strategic initiatives and long-term growth plans. We look forward to sharing details about our strategies to improve current sales trends and drive future growth at our upcoming Investor Day on February 19th. However, because we are still in the early stages of execution, our near-term performance will remain challenged. Entering 2025, we are optimistic about our path forward. The past year and a half has provided us with valuable insights that are shaping a promising future. Looking ahead, we expect trends to improve throughout fiscal year 2026, positioning us to return to growth in fiscal 2027 and beyond. Now I would like to turn to our third quarter performance in more detail. Revenue decreased 12%, as our results were impacted by softening demand for fashion luxury goods globally, with an outsized decline in China. Our performance was further impacted by our store optimization program, as well as our ongoing reductions in the wholesale channel. At the same time, we made a number of missteps in our efforts to reposition our brands, in particular at Versace and Michael Kors, that negatively impacted our results. Now looking at third quarter revenue trends by brand. Starting with Versace, revenue decreased 15% compared to prior year, as results were affected by the decline in global demand for fashion luxury goods. Additionally, in Fall of 2023, we began to reposition the brand, to place greater emphasis on luxury and craftsmanship, which was more in line with the quiet luxury trend. We have been pleased with many aspects of our repositioning efforts. Our VIC consumers have grown at a double-digit rate as they have responded positively to the more sophisticated offerings. Also, as part of our elevation strategy, we reduced end of season markdown rates in our stores, beginning with our Spring-Summer 2024 assortment. This included the elimination of markdowns and accessories, as well as containment of overall markdown rates in our full-price stores. While this has had a near-term impact on Versace's revenue, AUR increased mid-single digits in our full-price channel in the quarter, better positioning the brand for healthier, sustainable future growth. We also made missteps in some of our repositioning efforts. While elevating the assortment, we believed we removed too many unique Versace statement items. Additionally, we significantly reduced our offerings of products at entry-level luxury price points. This impacted our retail sales, but had a more significant impact on our wholesale business. Going forward, we will focus on injecting more energy into Versace's assortment to achieve the ideal balance of fun and elegant assortment. You will see more of this product flow into stores throughout fiscal 2026. Furthermore, after reviewing our pricing architecture, we will be introducing a wider offering of product to appeal to a broader base of luxury consumers. Both of these initiatives will help us engage with consumers and drive higher full-price sell throughs. For holiday, we were able to affect a limited group of products, including accessories and sneakers. For example, in November, we launched playful new bag styles to appeal to a broader luxury consumer and saw a positive inflection in women's accessories in our own retail channel. Another key indicator of strength of the Versace brand is the success of our eyewear and fragrance businesses. Eyewear continues to experience growth. Grammy award-winning singer, songwriter, Sabrina Carpenter, an NBA basketball star, Alexandre Sarr, both appeared in the new Biggie Eyewear campaign, which generated strong consumer demand. Our fragrance business also continues to deliver robust growth. Third quarter results were driven by the highly successful launch of our latest Eros Energy Men's Fragrance, featuring Channing Tatum as the face of the campaign. Moving to brand awareness and consumer engagement. Versace continued to benefit from high levels of brand awareness and engagement through its fall winter campaign, which channeled elevated energy. The iconic hallways and rooms of the Chateau Marmont Hotel in Los Angeles were used as a backdrop to highlight the collection's luxurious, strong, fashion point of view. For holiday, communication efforts focused on giftable items, including the launch of our new Tag Bag. These activities help contribute to a 15% year-over-year increase in Versace’s Global Consumer Database. We believe we have the key building blocks and initiatives in place to realize the full potential of this incredible brand. To return Versace to growth, we are focusing on continuing to leverage our strong brand awareness to drive consumer engagement, expanding our product offering to inject more energy and re-engage with the aspirational luxury consumer, improving store productivity, and returning our wholesale business to growth. Moving to Jimmy Choo, revenue decreased 4% compared to prior year as results were impacted by global slowdown in demand for fashion luxury goods. Our product strategy remains focused on further developing accessories and expanding Jimmy Choo's casual footwear offering. In terms of accessories, we continue to believe the category can expand to 30% to 35% of the mix from approximately 23% today. We have seen strong performance in the Cinch Bag, the newest addition to the Bon Bon family. During the third quarter, women's accessories performed well with sales in our retail channel up high single digits. We have also been pleased with the response to our expanding casual assortment. During the third quarter, casual footwear sales in our retail channel increased low double digits versus prior year. Now turning to brand awareness and consumer engagement. In October, Jimmy Choo launched a second capsule collection with the Japanese animated series Sailor Moon. Featuring a curated selection of accessories and footwear, the collection achieved exceptional sell-through rates. It also generated significant engagement across social media, resulting in approximately 12 million impressions. For winter, Jimmy Choo's campaign embodied the vibrant energy and festive spirit of the holiday season. Shot on location in Le Carmen in Paris, the decadent interior provided a glamorous stage for the texture-rich winter collection. Jimmy Choo also launched a playful social first video series starring Kim Cattrall. The campaign, which referenced the brand's cultural legacy from Sex and the City, helped drive awareness for the opening of the new Madison Avenue flagship boutique and drove over 4 million views. Our marketing initiatives continue to underpin our focus on glamour. This helped contribute to a 12% year-over-year increase in Jimmy Choo's global consumer database. Looking forward, we are confident that we have the foundational elements and strategies needed to fully harness the potential of Jimmy Choo. To accelerate growth, we are focusing on engaging and energizing both new and loyal consumers, broadening our product offering in accessories and casual footwear, improving store productivity, and stabilizing our wholesale business. Now turning to Michael Kors, revenue decreased 12% compared to prior year due to softening demand for fashion luxury goods globally. Results were further impacted by our store optimization program, as well as by continued reductions in the wholesale channel. In the Fall of 2023, we began implementing a comprehensive transformation plan. As part of this plan, we aimed to appeal to a younger audience, attempted to elevate price points too quickly, and significantly reduced our signature product offering, while injecting too much fashion for our core consumer. Our data analytics and consumer feedback indicated that this plan was not gaining traction and alienating our core consumers. Going forward, we are refocusing on the heritage of the Michael Kors brand, adjusting our pricing architecture to align with historical levels, and rebuilding our core and signature assortments to achieve a more balanced product mix. These initiatives are being put in place to achieve higher full price sell-throughs and AURs. Given our lead times, the product for Fall and holiday reflected the strategies of the previous plan. While we implemented some minor adjustments to the holiday assortments, the most significant changes will begin to take shape in the Spring and become more pronounced by Fall 2025. For holiday, we strategically realigned the pricing of several key bag styles to reflect the price points more in line with historical levels. This led to an increase in full price sell-through rates on those styles. Turning to eyewear and fragrance, which are key indicators of the strength of the Michael Kors brand. Eyewear continued to experience growth. Additionally, we saw strong growth in fragrance with the launch of Michael Kors' new signature fragrances. This is our first fragrance with Euro Italia, which introduces both women's and men's fragrance that evokes the sense of luxury and escape. The results of this launch exceeded our expectations. Now turning to brand awareness and consumer engagement. Michael Kors remains a powerful brand that resonates with consumers as evidenced by the 11% year-over-year increase in our database. Looking ahead, we are excited to unveil our dynamic new marketing plans, which reconnect with the heritage of the Michael Kors brand by celebrating a modern interpretation of the Jet Set lifestyle. We are elevating our campaigns by showcasing luxury destinations around the globe and celebrating our new vision, traveling the world in style. The Spring campaign set to launch later this month was shot in Ibiza and features English actress and singer, Suki Waterhouse, evoking the essence of the Michael Kors jet set lifestyle. Michael Kors has a strong heritage and we are eager to build on this solid foundation. Thanks to the insights we have gained from our data analytics and consumer feedback, we believe we have the right strategies underway to return the brand to growth over time. Going forward, we are focusing on implementing dynamic new marketing plans that modernize our jet set heritage, optimizing the balance between our fashion and core offerings, creating exciting product with compelling value to drive higher full-price sell-throughs, improving store productivity through our optimization and renovation programs, and stabilizing our wholesale business. In conclusion, I remain optimistic about Capri's future for several reasons. First, we have three incredible fashion luxury brands with Versace, Jimmy Choo, and Michael Kors. Our brands are globally recognized and deeply resonate with consumers. Second, we have a solid distribution network to build upon. With 1,200 luxury retail locations globally combined with our robust digital platform, we have a strong framework for the future. Additionally, our extensive wholesale network serves as an important channel to reach consumers in areas where we do not have our own stores. Third, we have the management team, design talent, and global workforce of dedicated employees to successfully execute our initiatives. Fourth, Capri has the financial strength to implement our strategies, which we will share at our upcoming Investor Day. Now I'd like to turn the call over to Tom to discuss our results and future outlook in more detail.
Thomas J. Edwards, Jr.: Thank you, John and good morning, everyone. Overall, our business remained challenged during the quarter, and we are disappointed with our results. We recognize that this performance does not reflect the true potential of our three iconic luxury houses. Our results were impacted by the overall slowdown in the fashion luxury market, as well as by some of the strategic initiatives we previously put in place at Versace and Michael Kors that did not perform as expected. Since the termination of the merger agreement, we have reevaluated our strategic initiatives and long-term growth plans. We look forward to providing a more detailed update on our plans at our upcoming Investor Day. Now, turning to third quarter results in more detail. Total company revenue of $1.3 billion decreased 12% versus prior year. By channel, total company retail sales declined low double digits, with e-commerce down high single digits. The impact of our store optimization program negatively impacted retail sales in the low single digit range. In the wholesale channel, revenue declined low teens due to overall softness in the channel, as well as our prior initiatives to reduce our wholesale exposure. Turning to revenue performance by geography. In the Americas, revenue decreased 11%. In EMEA, revenue declined 9%. In Asia, revenue decreased 20%. Now looking at revenue performance by brand. At Versace, revenue declined 15% compared to prior year. Global retail sales decreased low teens, while wholesale declined double digits. By geography, total Versace revenue in the Americas decreased 21%. Revenue in EMEA declined 13%, while revenue in Asia decreased 11%. At Jimmy Choo, revenue decreased 4% compared to prior year. Global retail sales were approximately flat to last year, while wholesale declined mid-teens. By geography, total revenue in the Americas decreased 10%. Revenue in EMEA increased 9%, while revenue in Asia declined 17%. At Michael Kors, revenue decreased 12% compared to prior year. Global retail sales decreased low teens, while wholesale declined high single digits. By geography, sales in the Americas decreased 10%. Revenue in EMEA declined 13%, while revenue in Asia decreased 27%. Now looking at total company margin performance. Gross margin of 64.4% declined 60 basis points to prior year. The decline was primarily due to lower full price sell-throughs across the group. Operating expense decreased $20 million as we continued to realize the benefits of our cost reduction program. As a percent of revenue, operating expense was 58.4% compared to 53% last year, primarily reflecting expense deleverage on lower revenue. Total company operating margin was 6% compared to 12.1% last year. By brand, Versace operating margin of negative 10.9% compared to negative 6.2% last year. Jimmy Choo operating margin of negative 3.8% compared to positive 2.4% last year. And Michael Kors operating margin of 16.2% compared to 21.2% last year. The declines across all brands were primarily due to expense deleverage on lower revenue. Our tax rate for the quarter was 9.8% compared to last year's rate of 17.9%, primarily due to the global mix of earnings and the lapping of a one-time Italian tax reserve established in the third quarter last year. Net income was $54 million or $0.45 per diluted share. This included $23 million or $0.19 of foreign currency losses. Now that we have completed the review of Capri Holdings adjusted non-GAAP P&L results, I would like to briefly comment on the brand intangible and goodwill impairment charges associated with Versace and Jimmy Choo. These non-cash accounting adjustments were the result of more modest revenue and earnings growth rate expectations. We continue to believe in the long-term growth opportunities at both the Versace and Jimmy Choo. Now turning to our balance sheet. We ended the quarter with cash of $356 million and debt of $1.48 billion, resulting in net debt of $1.12 billion. Our strong balance sheet and free cash flow generation provide us with the resources to execute our strategic initiatives. Looking at inventory, we ended the quarter with $892 million, a 13% decrease over last year, reflecting our ongoing diligent inventory management. Now turning to guidance. Looking at the fourth quarter, we are in the early stages of executing our new strategic initiatives to improve current sales trends and drive future growth. We anticipate fourth quarter revenue will decline 20% to $975 million. This includes a foreign currency headwind of approximately $25 million and an impact from store closures related to our optimization program for approximately $15 million. Looking at retail, we forecast sales in the fourth quarter will decline in the mid-teens. Excluding the impact of foreign currency and store closures, we anticipate retail sales in the fourth quarter will decline at a similar rate to the third quarter. In the wholesale channel, we forecast a decline of approximately 30%. We anticipate the fourth quarter will reflect the greatest wholesale quarterly decline and decreases will moderate as our efforts to stabilize the channel gain traction. By brand, we anticipate Versace revenue of approximately $200 million. We expect foreign currency to negatively impact sales by approximately $7 million. Jimmy Choo revenue of approximately $125 million. We expect foreign currency to negatively impact sales by approximately $5 million. And Michael Kors revenue of approximately $650 million. We expect foreign currency to negatively impact sales by approximately $13 million. Turning to gross margin, we forecast fourth quarter gross margin to be approximately flat versus prior year. In terms of operating expenses, we anticipate a decline of approximately $50 million in the fourth quarter, resulting in a decrease of over $100 million for the full year. The reduction primarily reflects our cost savings initiatives, including store closures, global headcount reductions, office consolidation, and other efficiency measures across supply chain and back office. As a result, we forecast an operating loss of $25 million in the fourth quarter. By brand, we anticipate Versace operating margin in the negative high single-digit range, Jimmy Choo operating margin in the negative high single-digit range, and Michael Kors operating margin in the positive mid-single-digit range. Based on our fourth quarter expectations, we forecast full year fiscal 2025 revenue of approximately $4.4 billion and operating income of approximately $100 million. In fiscal 2026, we expect revenue to begin to stabilize and margins to expand. Looking at our preliminary expectations, we forecast total company revenue of approximately $4.1 billion. This includes an approximate $100 million negative impact from foreign currency exchange rates, as well as an approximate $60 million impact from planned store closures. Excluding these two items, we expect retail revenue to be approximately flat versus fiscal 2025. We anticipate wholesale revenue will decline low double digits or high single digits in constant currency, which is a significant sequential improvement versus fiscal 2025. It will take time for us to reengage with our partners and align our product offering to better meet the needs of consumers in this channel. That said, we have shown fall 2025 collections for all of our fashion luxury houses to our partners, and they have responded positively to the changes we are making in terms of product design and pricing architecture. As we think about the cadence of the year, we anticipate gradual progression as our strategic initiatives gain traction. By brand, we anticipate Versace revenue of approximately $800 million. We expect foreign currency to negatively impact sales by approximately $25 million. Jimmy Choo revenue of approximately $550 million, we expect foreign currency to negatively impact sales by approximately $15 million. And Michael Kors revenue of approximately $2.75 billion, we expect foreign currency to negatively impact sales by approximately $60 million. Looking at gross margin, we expect modest gross margin expansion in fiscal 2026 with momentum building through the year. Turning to operating expenses. We expect expenses to decline approximately $200 million primarily due to $150 million of new cost reduction initiatives. We are taking actions to close additional unprofitable stores, realize supply chain efficiencies, reduced back-office operating costs, and implement a new workforce optimization plan. As a result, we expect operating income of approximately $150 million in fiscal 2026. By brand, we anticipate Versace operating margin of approximately breakeven, Jimmy Choo operating margin down slightly, and Michael Kors operating margin in the low double-digit range. Looking to fiscal 2027, with our strategies fully in place, we expect to return to revenue growth. We also anticipate continued operating margin expansion driven by modest gross margin expansion and additional cost reduction initiatives resulting in expense leverage. In conclusion, we remain optimistic about the long-term growth potential for Versace, Jimmy Choo, and Michael Kors as we execute our strategic initiatives. Our powerful brands of enduring value and proven resilience, reinforcing our confidence in their ability to deliver strong revenue and earnings growth over time. We look forward to sharing more details around our growth strategies at our upcoming Investor Day on February 19th. Now we will open up the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question is from Simeon Siegel with BMO Capital Markets. Please proceed with your questions.
Simeon Siegel: Thank you guys. Good morning. I'm sure you're thrilled to be taking our collective questions again, but it is very nice to speak to you again. So John, how do you view the competitive and promotional environment now maybe versus a couple of years ago, anything you've seen that's changed and maybe any noteworthy sell-in or sell-through divergence as you're seeing at wholesale? And then Tom, just the flat gross margin guide for Q4. Any thoughts on gross margin into next year and maybe what you expect net debt to look like within the 2025 and 2026 guidance? Thank you.
John D. Idol: Good morning Simeon and we're excited to be back and speaking to everybody today. I think we have a lot more clarity on our strategies moving forward and we're excited to share that with you on February 19th, not only the guidance that we talked about today, but some additional future guidance as this company returns to revenue growth and to profitability levels that we think are more representative of how these brands should be performing. The competitive landscape, I'll start first with the Versace and Jimmy Choo landscape. I don't think it's any more or less promotional in that group of European competitors. I think that we're all obviously feeling the effects of that significant slowdown in China. And I don't think that we see the recovery yet on the horizon. I think there's a lot of conversation about that it will happen in the second half of next year. We think the declines will have a sequential improvement, but we do think there will still be a significant decline in China, in particular, in our fiscal year. And then in terms of the Michael Kors, the more of the American competitors, I would say it's not any more or less, again, promotional. I think the consumer is very choiceful. And I think that's what we've really learned over the past six months in particular. When you look at the Michael Kors business, unfortunately, our AUR is down and I think we talked about that on the previous call where we had raised prices significantly over the last 24-plus months, and that was successful coming out of COVID and then the customer got more and more choiceful. And unfortunately, we had to be more promotional because we had to get to the price points where she would buy the brand. And actually, we're seeing a bit of a crossover and that we now know where she puts the pricing and valuation on the Michael Kors brands. We have very good data analytics and consumer insights around that. And as we -- as I said in my prepared remarks, we've seen an inflection where we priced a couple of our handbag groups more at the historical levels of our pricing and she responded very, very strongly to that. And we've seen the types of full price sell-throughs that we would like to see. So I think that, again, in conclusion, I wouldn't say it's any more or less promotional. I think the consumer is very choiceful. And I think we have to -- and by the way, we see that the same with Versace and Jimmy Choo, where again, in that business we lost a bit of the aspirational consumer I think for a lot of different reasons, one of which was we didn't have enough product for that consumer. So as we look across the group, we've referred to it as our strategic pricing architecture. And we'll be more balanced in Versace in particular, Jimmy Choo is more or less there will make a few tweaks. And then Michael Kors, there's going to be some big changes. And we think that's really going to going to help drive future full price sell-through and revenue growth. I'll let Tom speak to the wholesale piece.
Thomas J. Edwards, Jr.: Simeon, when you talk about the gross margin, if you look at Q4, there are some puts and takes in there. We're seeing some benefits for, as John mentioned, for lower markdowns in store for Versace and other quality of revenue efforts. On the other hand, we still have this product that was bought in for the prior strategy and where we're adjusting pricing for that, that is an offset. So we expect flat margin in the quarter. As we look at fiscal 2026, we do expect margin improvement, modest gross margin improvement and that will happen as we buy into the new strategy and our new pricing architecture. So as that moves through starting in Spring and then more fully in Fall and holiday, we expect to see higher full price sell-throughs and higher AURs, which will then support higher gross margins. So we expect a progression there. And overall, for the year, a modest gross margin improvement.
John D. Idol: Simeon, I don't think I answered the wholesale part of the question. Let me just take that for one second. So our wholesale business, if you recall, has been impacted by really three things. First, we raised our prices and changed our strategies really at more at Versace and Michael Kors. And I would say that had significant impact of our wholesale businesses and our customers not feeling that, that was the right strategy for them to develop and grow with. Secondly, I think that you're aware that in particular, in Michael Kors, we reduced distribution points and again, to improve our quality of sale that was about a $200 million reduction for us in this fiscal year. We would have liked to have seen that flow back into our retail business but did not. But we are carrying forward with that and that initiative will be finished by the end of this Spring season that we're heading into right now. So we think that -- and we've shown our lines, as you've heard in Tom's prepared remarks to our wholesale clients and they are very pleased with the direction that we have taken with product first, secondly, with price architecture. And we believe that the wholesale declines will slow. And in fact, probably in the second half of next year or the upcoming fiscal year will actually be flat/see some small increases. And so we're already working with our partners on planning that strategy. And I would say we're making good progress, and it's nice to see them coming in here, feeling that the -- both the Versace opportunities that we've positioned and the Michael Kors opportunities are something that they want to lean into. Thank you, Simeon.
Thomas J. Edwards, Jr.: Simeon, I'll handle the debt question. With regard to Q3, we came in below our year-end forecast at $1.1 billion in net debt. We still expect at year-end, approximately $1.2 billion normal timing of working -- cash flows and working capital as we buy Spring inventory. So we continue to expect a similar year-end number that we shared earlier. For fiscal 2026, our business is very strong, and we expect to generate strong free cash flow. I would expect the ending debt for fiscal 2026 to be lower and I'd say at this point, approximately $200 million, but that leaves us plenty of cash to invest in our strategies and to drive the business as we invest in things like data analytics and begin our store renovation program for Michael Kors. So those are, of course, the first priorities, but we will then continue to reduce debt as we move forward.
Simeon Siegel: Great, thanks so much guys. See you in a couple of weeks.
Operator: Thank you. Our next question is from Bob Drbul with Guggenheim Partners. Please proceed with your questions.
Robert Drbul: Hi, good morning. If I could just follow up a little bit on some of the pricing and the strategic pricing initiatives, I guess specifically with Kors and Versace, can you just talk more around like levels or the changes in the declines or the reductions in AUR, ASP? And then the other question that I have is just around the marketing plans, I think, around Kors you mentioned, I mean is there going to be a big change in level of spend around Kors or it's just a reallocation of the dollars that you're spending? Thanks.
John D. Idol: Thanks for the question, Bob and good morning. So let me start with the marketing first in Kors. So I think you heard us say in our prepared remarks, the company tried to work on something that was called the transformation plan. And I think the intent was good intent. The strategy was not received well by our Kors customer and, quite frankly, a different customer that we were trying to reach out to. After our -- looking at our consumer insights, our data analytics, the customer really came back to us and again, we did some outside research as well and said, this is what we believe Michael Kors stands for. And in fact, everyone came back and said, "We believe you're a company that's about Jet Set”. And we had data from -- also from some very, very large companies that we partner with in our marketing that said it was the third or fourth most searched term for the brand in totality. So after looking at all that data and how the customer reacted to our previous strategy, we have gone back to really celebrate our heritage, which is Jet Set. And there's a new kind of mantra around that, it's traveling the world in style, and you're going to see all that work on February 19th. We've also done some consumer research around that and the sentiment is very positive. And it's all looked at through a modern lens. And so we're excited about how we think the customer is going to react to that. As it relates to -- the marketing spend will be, I would say, different from what we've done in the past. And again, I'd rather not get into that detail today, but we'll share that information with you on February 19th as we really lay out our strategies on how we're going to implement this Jet Set and traveling the world heritage refocus. In terms of the pricing, again, what we have seen is that we elevated prices too quickly and that the consumer ultimately wanted us to be at certain price ranges. And so therefore, we ended up discounting to get to those price ranges and -- which obviously had a negative effect, I think, on the brand image and also on the way the customer perceived our product. So we went back and looked at two things, we looked at historical pricing first and secondly, we actually looked at the out-the-door pricing. So our AURs were down close to high single digits for Michael Kors. And we think we'll be able to elevate that to flat or actually growth next year. And it sounds counterintuitive, but actually by lowering certain prices, offering more we have a good, better, best strategy, more in the good and better parts of the line and get better full price sell-throughs, which will mean lower discounting. We're starting that process as we speak right now. There will be some negative impact to some of the reduction in discounting around certain -- in particular, of our full-price styles. But we think that's the right direction for us to head in. And also that will, we believe, result in higher gross margins ultimately as we have better full price sell-throughs. And again, I will point out to you two bags that we've seen recently that have had these green shoots that I mentioned before, and that's a Nolita soft shoulder bag that quite frankly is $398, but the sell-throughs are very, very strong for us. And then on another bag, which called Laila, which we just introduced over the past few weeks, that's a satchel of $258, and that's seen very strong reception from the consumer. So I think we're at the right price value relationship is, and I would say that's the key to this, the consumer is responding. I would like to add one further note as well because a lot of times we talk about handbags and etcetera, in this company. But we have a strong ready-to-wear business. And in that area, we raised prices 30% to 40% and those prices will come down 30% to 40%. And you're going to see probably 65% of that activity happen in the Spring season and you'll see it in full place for the Fall season. And we believe that's actually going to drive more traffic to our retail stores as you're probably aware, consumers purchase ready-to-wear on a more frequent basis than they do handbags and footwear. And Michael certainly has a style that we think will be representative of something with the consumer desires. So we're going to lean into ready-to-wear to help us drive our store activities. It's not a change of spacing in our stores. It's just a change of pricing and taking us back to our more historical levels.
Robert Drbul: Okay, thank you.
Operator: Thank you. Our next question is from Ike Boruchow with Wells Fargo. Please proceed with your questions.
Irwin Boruchow: Hey, good morning everyone. Good to hear from you again. A question for Tom and then a question for John. I guess the revenue trajectory has been a little bumpy in the past couple of quarters. And then obviously, based on the fourth quarter guide, obviously, there's channel dynamics. I guess my question is, as we move into the cadence of next year, should everything kind of linearly begin to get less bad or could we expect more lumpiness? And then just a follow-up for John. I guess I'll just ask, I mean, there's been speculation around the sale of Versace and/or Choo for a few months in editorials and what have you. I mean, I guess, are you able to cop there, how should we be thinking about the portfolio, how you're envisioning the portfolio, anything you can share there would be helpful? Thank you.
Thomas J. Edwards, Jr.: Hi, so starting off with the revenue trajectory for 2026, I think as we said, we see a retail flat to maybe slightly positive excluding FX and the store closure impact. And as our strategy has come into place and we're buying into them and getting the right product at the right price, we do expect to see a progression through the year of sales. On wholesale, we are still seeing the tail end of reducing our distribution and also the need to ramp up and selling in for Spring and more importantly, for Fall/Winter next year. So we'd expect wholesale to start the year negative and then to improve as we get later into the year.
John D. Idol: And again, I could -- just finishing on that, for Q4 of this year the greatest impact for the company in revenue decline on a percentage basis is really the wholesale. So this is going to be what we believe our last very, very large and significant decline in wholesale. Again, we've worked with our partners in the wholesale channel, we've been able to affect some of that relationship and the idea of increasing some of the bookings. You'll see some of that happen in Q1, and it will really accelerate in Q2, Q3, and Q4 next year as we'll be able to ship into a lot of the strategies that we've talked about on today's call. And that's really across the board. That's all three of our houses as well. As it relates to our assets, first and foremost we're a public company, and we always are looking at shareholder value. We know we have two highly valuable assets in Jimmy Choo and Versace. We like you have read a lot of the speculation that's been out in the marketplace. I think I said on the last call, we're always going to listen to interested parties who may or may not have an interest in these assets. Currently, that's not what our strategy is. Currently, our strategy is we're going to build three businesses and we think as again, we've got three incredible assets. and where people are interested in parts or the whole, we will always have that conversation. But that is currently not our focus or currently, our focus is on meeting with you all on February 19th and sharing what our strategies are for growth with three incredible fashion luxury houses.
Irwin Boruchow: Thanks.
Operator: [Operator Instructions]. Our next question is from Brooke Roach with Goldman Sachs. Please proceed with your questions.
Brooke Roach: Good morning and thank you for taking my question. John, I was hoping you could elaborate on the expectation for retail to improve to flat to slightly positive, excluding FX and some of the store closures. Can you help us understand what assumptions are embedded with there -- within that, the most important strategies that you're putting into place, and when and what you're assuming for traffic increases and the impact of your marketing plans relative to Kors like-for-like improvements in product that you have better visibility to? Thank you.
John D. Idol: Good morning Brooke and thank you for your question. So Brooke, I would say the first thing always for us is an amazing product. And I'm very excited by what our teams have put together at all three of the houses in terms of product innovation. And again, our own retail buying teams have seen this product, in particular, for Fall that's where the markets that we're in today. And they have given really incredible response to what we're doing. And so I think that we feel that we have a pretty good understanding of what we need to do to excite the customer. We're not going to be perfect at that. But we feel in a much better place than we did a year ago sitting here at this time. Secondly, I think the marketing initiatives and I'll start with Michael Kors. As I said to you, we've done a lot of work internally as well as research externally. And we think our heritage and leveraging our heritage and in a modern -- under a modern lens is going to really have an inflection with how the consumer interacts with the brand. That being said, you've seen that all three of our luxury houses have had very strong database growth. So there's tremendous interest from our customers and the database growths are people who are purchasing from us. So we're seeing that as a very good lead indicator. And I think what we're seeing with, let's call it, high single-digit traffic decline that we've seen at many of the brands less so in North America, more so in Asia, etcetera. We're looking for that to flatten out next year, and that will be driven by our marketing initiatives and how we're bringing people to our stores or to our e-commerce sites. We're going to share more of that with you on February 19th in a fairly specific detail with each of our CEOs who will present at the presentation and our marketing teams as well. So we feel good about that. And then lastly, again, more in Versace and Michael Kors, some of the initiatives we've made in our pricing architecture, I'll give you one good example in Versace, we've launched a new bag called The Tag Bag. And the early indications are very, very strong, a little younger in its attitude. And the pricing is between, I think, $950 and $1,250 in that range. And so it's still luxury pricing, but the more opening price point of luxury, and that's just a balance point that we were missing previously, and now we're getting a very good reaction to that. We've introduced a new sneaker called The Galaxia in Versace. It retails for $550. We're off to a terrific start with that product. Again, we're still going to have sneakers that are going to retail for $1,000 as well, but we were probably missing some of that entry level for the more aspirational consumer that we had previously, and we've had a waiting issue in terms of what that looked like in the line. And then lastly, there's going to be a very large strategic move on the men's side in Versace around our strategic -- around our short pricing, which is a very big part of our business in men's. And in fact, when we look at the real out-the-door price versus what we were trying to sell it at, we're bringing those down in many cases from some €1,500 down to €950 and we think we'll get better full price selling, improve our gross margin. And interestingly enough, some of the early work that we've done around that is our AUR actually went up in Versace in the third quarter. And we think that was a lot because we reduced the promotionality and some of the work we did around some of our opening price points. So we think that's going to start to gain traction as well with the consumer. And then the last thing is, I want to point out in the Michael Kors business, in particular, I think we mentioned that there was a strategy around reducing our signature which is a very, very significant part of the Michael Kors business. We believe that we will be in a very, very strong shape come beginning towards the latter part of the Spring season. And we believe that we can get that signature penetration back up to 40%. That drives a lot of consumers, both loyal consumers, tourists, etcetera into our stores. We think -- and the marketing programs we put around that, we think, will really help enhance the way the consumers experience the Michael Kors brand. So we've got a lot of things, Brooke, that we think will help us get there. And we're going to be coming off of some relatively low comps after the poor performance that we had in 2025. So I think our expectations are modest, and I think they're achievable. Thank you, Brooke.
Brooke Roach: Thank you so much.
Operator: Our next question is from Oliver Chen with TD Cowen. Please proceed with your questions.
Oliver Chen: Hi John. You mentioned quiet luxury on the call earlier. Just curious about your thoughts on the evolution of that relative to core and signature and what you're doing at the Michael Kors brand with where you want to go with fashion execution? Also, as you think about outlet versus full price segmentation or thoughts around that, that would be helpful, too? Thanks a lot.
John D. Idol: Sure, thank you. Good morning Oliver. I want to first start with Versace on that question because I think, as I stated in our opening -- my opening remarks, it's almost two years ago that we started to really reposition the Versace brand. And we made a decision that we were going to lean into luxury and craftsmanship, more the history of the origins when Johnny and Donatella founded the company. And we made quite a statement with our fashion show out in Los Angeles. And we believe very, very deeply in that strategy. We are cleaning up the Versace business. We have some other announcements we'll make on the next call on further things that we're doing to position this brand as a pure luxury brand and competing at the very highest essence of fashion luxury. And we're staying -- we're keeping our head down. It's painful, but we're keeping our heads down and we're going to stay the course on that strategy. We have a very balanced full price-to-outlet structure in I believe all of our businesses in Jimmy Choo and in Versace. We're in -- whether it's in full price centers, where we sit with the best luxury brands and in the outlet centers, we sit with the same as our competitors. So we're -- we believe, very tight with our distributions. Both of these companies have approximately 220 doors each. And we think that's the right distribution. Ultimately, that could probably be closer to 300 over time, but we're kind of going to keep our heads very steady with the store networks that we have today. And there's no question the quiet luxury trend is still in place, and you know the brands that are performing extremely well around that initiative. We did quiet Versace down from its positioning when we bought the company. And some of the key indicators, especially the VICs, I think you saw on our call. I mean it's up over 20% and is driving huge velocity for us inside the stores. And so we know we're doing the right thing. She and especially the wealthy customer is leaning into us. And we know if we get that right, where we didn't have that right before and we start to now turn back on some of the initiatives around the aspirational customer, we think we're going to really see an inflection in Versace as we move throughout the year next year. And again, on our next call, we'll explain some of the other positioning things that we're doing that I think will -- it will be helpful for you to understand what we're doing at Versace. And then in terms of Michael Kors, if you really look at the Michael Kors style and look which is more of our historical look, it was based on a lot of glamor and a lot of products that really was right during its time period. The transformation that happened at the company was too strong to try to really look at a Gen Z customer in particular, and to try and lean into that much more heavily. And unfortunately, that alienated our core customer and some other things. But when you look at the product, and it's literally arriving in stores over the next few weeks, and the marketing campaigns. You saw one of the pictures with Suki Waterhouse in our press release. You'll see that what we're really looking to bring Michael Kors back to is something that's incredibly chic and glamorous probably not with that level of shine but it's going to be very much about standout style, which you'll hear about at our upcoming Investor Day. And Michael has been such an incredible talent for over 40 years. He's got a lot to offer for the consumer from a fashion point of view, but Michael always brings it to you in kind of the most chic perspective. We may have lost that over an 18-month period of time. I think it's back, it's going to be back very strong. Michael is highly engaged and has a great vision on how and where he wants to take this company. So I think you'll see that in frankly all channels from us. And again, you've seen us reduce our store fleet. Our ultimate goal is to get down to about 650 stores worldwide and that will be smaller distribution than some of our competitors. Also, our wholesale distributions won't be that far off in terms of alignment. I'd say, quite frankly, very much the same. So we're going to be -- if there was ever a concern that this company was over distributed, I think that's no longer an issue. I think we have the right balance of full price and outlet. And lastly, as we talked about in our last -- our previous call, we're going to renovate about 150 of our stores. This will be primarily our full-price stores over the next 24 months. We are starting that project literally as we speak. And we're excited about the new store concept. And again, we're going to talk to you a lot about that at our February 19th Investor Day.
Oliver Chen: Thank you.
Operator: Thank you. Our next question is from Paul Lejuez with Citigroup. Please proceed with your questions.
Paul Lejuez: Hey, thanks guys. Tom, curious if you can give a CAPEX number for next year, just sort of what you're thinking about? And then, John, for you, just at a high level, I'm curious if as you went through the merger period, how much of that distraction and uncertainty contributed to what we're seeing in the business today, were your hands tied in any way, things you want to do, actions you wanted to take but you couldn't, what were those and how easy is it to get some of that in motion and is that kind of what we're seeing today? And then just last, any big holes in leadership that still need to be filled that you could share with us?
John D. Idol: Good morning Paul and thank you for your question. I'll start with the merger. And again, not a lot really to comment per se on that. But it was highly distracting for the management team and I think as we've said in our previous call and in this call, there was a lot of work and energy and effort that went into the management teams preparing for that potential merger. And so I would just say it's highly, highly distracting, and we didn't have as much time to work on our longer-term strategies. And I would say that there was some confusion about what strategy should I be working on given where the company was going to be at whatever period of time. But we've obviously put that behind us and I think we're super engaged, and I have to compliment the senior leadership team at all three of our companies for rebounding very quickly, putting in place strategies that we think are going to drive the business. I think Jimmy Choo has always been relatively clear about how they -- where they're going to go and how they're going to get there. We'd like a few more weddings to happen right now. We'd like people to dress up in a few more high heels, but we're feeling that trend is coming our way. So we're feeling optimistic. As I just mentioned before, the Versace strategy, we feel quite confident that we're on the right path once we really start to anniversary some of the -- in particular, some of the quality of sale initiatives. And that's something that goes back to Brooke's question. We'll kind of anniversary most of that by the end of calendar year this year. Some of that will actually anniversary in the beginning of Fall season. So we think as the consumer understands that, particularly our full-price channel and Versace, they're not going to see that level of discounting happening. It will start to bear fruit for us. And then lastly, with Michael Kors, I'd say that's where really the biggest strategy changes had to take place. And with the ending of the merger, it gave us much more confidence to make that move, make it bold, make it quickly, use the data analytics and consumer insights to guide us and quite frankly, use Michael's vision to guide us. And if the little tiny green shoots early on or anything between some of the handbags that we talked about that are getting traction and some of the consumer wholesale reaction or any lead indicators, we're feeling good about the initiatives that we've put in place. And then lastly, in terms of leadership, the answer is we lost very few people during the merger. And again, I have to say thank you to our global teams. They have had a dedication to this company. And we believe that they will be, hopefully, as part of the secret sauce that we'll be moving us forward to returning to revenue growth in particular, in fiscal 2027. But as we move towards operating earnings growth in 2026, our teams will be critical to implementing and making that happen for us. I'll turn it over to Tom for your other questions.
Thomas J. Edwards, Jr.: Paul, regarding CAPEX, for this year, fiscal 2025, we expect to spend approximately $125 million in CAPEX, and that's for systems and store -- limited store openings. For next year, we're looking at about the same range and that will support the beginnings of the Michael Kors renovation program for our stores. Some very focused store openings. We're closing many more stores than we'll be opening next year, after this year closing over 100, next year, we expect to close approximately 70. And then we'll also be investing in areas like e-commerce and data analytics. So it's approximately the same year-over-year.
Paul Lejuez: Thank you guys, good luck.
Operator: Thank you. Our next question is from Dana Telsey with Telsey Advisory Group. Please proceed with your questions.
Dana Telsey: Hi, good morning everyone. As you think about and you were just mentioning, Tom, the retail store changes that are going on, how are you thinking about outlet versus full price in terms of what you're opening or closing? And when you think about the marketing spend that you're investing, John, how are you thinking about it by brand and are there any other metrics that you're looking at in terms of new customer acquisition that you're targeting to gauge the business as it progresses? Thank you.
John D. Idol: So good morning Dana, and let me start with the stores and Tom was -- our CAPEX, Tom, was correct. We're going to continue to invest in upgrades to our technology inside of our company. We spent hundreds of millions of dollars over the last few years and in particular, on our e-commerce and our data analytics capabilities. And so we're in a very good position there. And we're just going to have to spend less going forward as a percentage because of the amount of effort and technology that we brought into the company over really the past two and half to three years. So we feel good about that, number one. Number two, we are going to close some 75 stores next year. The majority of those will be full price stores and the majority of those will be Michael Kors full-price stores. And we think that we, again, have a very good balance between full price and outlet stores. We are not opening new outlet stores, so the distribution and store count that we have today will remain flat over the next few years. And we're going to work very hard to across the group, and we've said this in my prepared remarks and Tom's, we're really looking at -- once we finish most of our store closures, which should be by the end of next year -- next fiscal year that we're really looking at densities and productivities inside the fleet that we will have. And so the point that I wanted to make is the majority of our CAPEX around stores will go to actually store renovations. And it's early days, but we are encouraged by the new store concepts, and you'll see those when you -- at our presentation, we're encouraged by some of the early results that are taking place there, and so we're going to put more investment as a company into our retail fleets, than we will into where we've been outsized investment in IT and technology over the last three years and now we'll go more into CAPEX. Inside -- the Michael Kors store fleet in particular, we've really renovated most of the Versace fleet. It's probably 90% renovated. Jimmy Choo is about the same. So we're going to really target the majority of our investment around the Michael Kors store fleet. And then lastly, in terms of marketing spend, depending on the brand, we're spending between 7% and 8% on marketing. It can go higher than that depending on how we see the results of certain initiatives that we're putting forth. And Dana, I would rather leave that piece of the initiatives to our Investor Day because we have some very interesting tactics that will be as forthright with you as we can without sharing too much with our competitors, but we're definitely looking at how we market through a different lens even than what we did this past year.
Dana Telsey: Thank you.
John D. Idol: Thank you Dana. And I would like to thank everyone for joining us on this call today. We look forward to seeing you on February 19th to share more of our longer-term strategic -- our longer-term strategies. And additionally, we will be speaking to you about some of our longer-term guidance as we return the company to revenue and operating earnings growth. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.